Operator: Good day, ladies and gentlemen, and welcome to the Synalloy’s third quarter earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to hand the floor over to President and CEO, Craig Bram. Please go ahead, sir.
Craig Bram: Good morning, everyone. Welcome to Synalloy Corporation’s third quarter 2016 conference call. With me today, as always, is Dennis Loughran, our CFO. Dennis will start with a review of the Q3 financials and then I’ll provide some comments on our two business segments. Following my comments, we’ll open the call for questions. Dennis?
Dennis Loughran: Hello, everyone. This was truly a game-changing quarter, with the steps we took to secure our liquidity and provide the means to continue pursuing strategic initiatives, despite the extended malaise in many of our key markets. Many thanks to our longtime supportive banking team at BB&T, headed by Stan Parker, for guiding us effectively through the conversion to our new ABL facility. And as well, similar appreciation to the folks at Store Capital for providing their expertise and financial resources toward a very smooth and expedited sale leaseback transaction. And I would be remiss if I did not provide adequate commendation and thanks to our corporate business unit and financial team members here at Synalloy, as well as our outside accounting and valuation partners. Multiple transactions like this in one quarter, while handling the normal rigors of our business enterprise call for efforts above and beyond. Those efforts have added tremendous value for our company and stakeholders; and for that, we are grateful. Now, on to the quarterly results. The financial result, as always, will be presented using three different methods. First, GAAP-based EPS; second, adjusted net income, a non-GAAP measure as defined in the earnings release; and third, adjusted EBITDA, a non-GAAP measure, also defined in the earnings release. Also, all amounts referenced are always for continuing operations only. Third quarter GAAP based losses were $2.6 million or $0.30 per share as compared with earnings of $1.4 million or $0.16 per share in the third quarter of 2015. Significant differences in year-over-year performance include: Q3 of this year had a pretax charge of $2.5 million associated with the losses booked on the sale of three properties, resulting from the sale leaseback transaction. Q3 of this year had a pretax inventory loss of $1.3 million as compared with the inventory loss of $1.7 million in Q3 of last year. The prior-year Q3 included a net favorable adjustment of $2.4 million to acquisition earn-out liabilities. The LCM adjustment for this year reduced the inventory loss by $0.05 million as compared to the LCM adjustment last year, increasing the inventory loss by $0.4 million. Q3 of this year included favorable net one-time adjustments and amortization of manufacturing variances totaling $0.5 million. Third quarter non-GAAP adjusted net loss was $0.22 million or $0.03 per share as compared to adjusted net income of $1.1 million or $0.12 per share in the third quarter of 2015. Third quarter non-GAAP adjusted EBITDA totaled $1.5 million or 4.3% of sales, a decrease of 62% from the prior year’s third quarter total of $3.9 million or 10.2% of sales. The combined adjusted EBITDA for the operating businesses in the third quarter was 8.8% of sales, down from prior year’s third quarter of 12.9% of sales. This excludes the parent company costs. With the culmination of the new ABL facility and debt paydown utilizing the proceeds of the sale leaseback transaction, we no longer have any outstanding term debt. So, at the end of the third quarter, our outstanding debt was in the form of a line of credit balance totaling $8.4 million. Calculated ABL facility availability at September 30 was approximately $29 million. As we have said, each quarter, and put some proof on the table this quarter, we remain committed to managing our cost tightly and our balance sheet effectively during this difficult business climate to keep us positioned to achieve our goals going forward. I will now turn the call back over to Craig.
Craig Bram : Thanks, Dennis. As mentioned in the earnings release, we do believe that 2016 represents the bottom of the cycle for both the metals and chemicals segments. We’ve seen increasing order activity in each of our metals units and the pipeline of new products in the chemicals segment will drive improved volumes and profit in 2017. Let me touch on each of the operating segments. I’ll start with the metals segment. Q3 stainless steel pipe volume was up 4.5% over the same period last year. Our product mix and lower prices overall resulted in average selling prices declining by 10%. Year-to-date, stainless steel pipe volume was down 11.3% and average selling prices were down 19.9%. Distribution customers continue to maintain very lean inventories. We had seen recent improvement in booking activities with total stainless steel pipe bookings in October of $7.6 million. Our heavy wall press is totally operational, and we expect to complete in excess of $1 billion [ph] of work in Q4. The LNG project mentioned in the earnings release has about a third of its total volume that will require production on the new press. BRISMET will be holding an open house in spring of next year to showcase the new equipment. We’re also excited about the opening of our new sales office in Shanghai with the addition of a very experienced sales rep. We believe the Asian market offers many opportunities for special alloy pipe and tube. In Q3, stainless heavy wall carbon pipe volume was up 6% over Q3 of last year, but selling prices remained under pressure, down almost 17% over last year. Year-to-date volume was down 7.5% and selling prices were down 21%. Distributor customer inventories are very low, and we expect that to provide some sales momentum going forward. Bookings and production of storage tanks in Q3 were encouraging. The Permian Basin has been very active in recent months with billions of dollars of acreage sales, and the new Alpine High discovery by Apache. We're also making good progress with the sale of tanks to the non-oil and gas sector. Turning to the chemicals segment, Q3 pounds were down 18.4% over the same period last year. This reflects the loss of this leanest business and the general stopped activity across industrial markets. Selling prices were down 2%, primarily due to the decline in raw material input prices. Year-to-date pounds were down 17.3% and selling prices were down 5.1%. A bright spot in this segment has been the improving EBITDA margins over the prior year. Q3 EBITDA margin was 14.9% as compared to 13% for the same period last year. Year-to-date EBITDA margins improved from 12.3% last year to 14.0% this year. While 2016 has been a difficult year for everyone in our businesses, I'm pleased that Synalloy has continued to invest in its operating units, while at the same time strengthening its balance sheet. We expect to end 2016 with net debt below $5 million and available capacity of $30 million. This will position us well for acquisitions and high ROI projects. We’ll now open the call to questions.
Craig Bram: Alrighty. Well, we appreciate everybody's time and look forward to catching up with you next quarter. Thanks very much.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. And you may now disconnect. Everyone, have a good day.